Operator: Hello. Welcome to the Alfen 2025 Full Year Results Conference Call hosted by Michael Colijn, CEO; Onno Krap, CFO. [Operator Instructions] I would like to now hand the call over to Michael Colijn. Mr. Colijn, please go ahead.
Michael Colijn: Thank you, Maria. Good morning, and welcome to Alfen's Full Year 2025 Earnings Call. Thank you all for taking the time to join us today. I'm Michael Colijn, Chief Executive of Alfen, and I'm delighted to be leading this trading update with you today. Joining me is Onno Krap, our CFO, who will talk you through our financial performance later in this presentation. Today's agenda is structured to give you a comprehensive view of our 2025 performance and our path forward. I'll begin with the highlights of 2025. We'll then dive into each of our 3 business lines. Onno will follow with our full year 2025 financials. I'll then outline our strategy update. We'll conclude with our 2026 outlook before opening the floor for your questions during our Q&A session. 2025 was a challenging year for Alfen. At the same time, our focus on cost control and operational discipline allowed us to maintain a stable adjusted EBITDA margin at 5.8% of revenue. This highlights the resilience of our business in a difficult market environment. Since joining Alfen 4 months ago, I spent significant time getting to know our organization's employees and partners, engaging with key customers, major supply chain partners and our investors. The past period has reinforced my view that Alfen is a company with potential. Alfen's products and services are crucial for the European energy independence and energy transition. Looking ahead to 2026 and 2027, we are focused on translating Alfen's strong strategic position into performance. To capture our strategic position, Alfen has embarked on company-wide transformation to align organizational capabilities with the revised strategic focus of customer centricity, product excellence and digitalization. This transformation is essential as we work to navigate current market conditions and position Alfen to better capture future growth opportunities. Looking ahead to 2026, this will be a transformational year in which Alfen repositions for profitable growth. We expect revenue to be between EUR 435 million and EUR 475 million with an adjusted EBITDA margin between 4% and 7%, while maintaining CapEx below 4% of revenue. I will dive deeper into our transformation and 2026 outlook later in this webcast. Let me turn to our Smart Grid Solutions business. In 2025, SGS generated revenue of EUR 189 million compared to 2024 revenue of EUR 210 million. Market conditions remained mixed throughout 2025 with headwinds in smart grid solutions caused by labor shortages, regulatory constraints and grid congestion, while underlying demand drivers linked to electrification remained intact. Activity increasingly centered on battery energy storage integration, transport distribution stations and the rollout of SF6 free substations in preparation for European regulation. We maintained a balanced revenue mix with 70% of revenue generated by high-volume transformer substation sales to grid operators and 30% by project sales. Our adjusted gross margin remained stable at 22.4% compared to 22.8% in 2024. Looking ahead, we are starting to see regulatory tailwinds that will benefit both the product and project smart grid business over time. For example, the European grid package published in December and the Dutch Environmental and Planning Act will contribute to increasing the speed of permitting and the availability of capacity on the transmission grid. Installation capacity will also be increased by the scaling plan 2030 published in November 2025, where Dutch DSOs, contractors and government launched a plan to accelerate grid infrastructure deployment. And Alfen is prepared to capture a significant part of that growth. Our EV charging business faced significant headwinds in 2025, with revenue ending at EUR 120 million compared to EUR 153 million in 2024. This decline was driven by increased competition in the EV charging home segment and reduced installation rates in the public segment. Our adjusted gross margin for EV charging improved significantly to 43.4% compared to an adjusted margin of 36.1% in 2024, primarily due to lower component prices. A significant achievement at the end of 2025 was the introduction of 2 innovative chargers, the Eve Single Plus and Eve Double Plus. These new products feature vehicle-to-grid ready capabilities, compatibility with a wide range of vehicle brands and energy systems, smart charging capabilities with OCPP 2.x compatibility, ancillary services for charge point operators, reduced installation costs for charging plaza applications and the secure ad-hoc payment options by dynamic QR codes. Over 2025, the battery electric vehicle market in the EU regained momentum with high double-digit growth rates in car registrations year-on-year across the EU. Importantly, European Union legislation continues to confirm the electric future with both short and midterm accelerators. Even though the European Commission has lowered several 2035 CO2 tailpipe emission reduction targets for cars, this still shows the future of mobility is electric. New initiatives such as greening corporate fleets and the automotive omnibus further support market development. We also see that market uptake will be increasingly driven by economic and customer preferences, such as the superior total cost of ownership and performance compared to internal combustion engine vehicles. These economic and customer preference factors are overtaking the importance of regulation in driving EV adoption. Our Energy Storage Systems business demonstrated resilience in 2025 with increasing revenue by 1.6% to EUR 125.6 million compared to EUR 123.7 million in 2024. This growth occurred despite market headwinds as energy storage system prices kept falling sharply in 2025. The gross margin for energy storage system was 22% in 2025 compared to 29% in '24. This was due to revenue recognition timing effects and an increased share of large-scale battery projects with a lower margin. Despite these challenging market conditions, we achieved several significant commercial wins during the year, and I give you 2 examples. For NOP Agrowind, Alfen will be doing the full engineering, procurement and construction scope for a 49-megawatt, 196-megawatt hour battery electric system, including the grid integration. Additionally, Alfen will be manufacturing 56 Mobile X units for Greener Power, Europe's largest temporary battery fleet. On the innovation front, we launched a new inverter design, significantly reducing noise levels and making the system more suitable for urban and other noise-sensitive environments. This development strengthens our competitive position as energy storage systems increasingly move into densely populated areas where noise considerations are critical. The backlog for energy storage systems for 2026 revenue was EUR 122 million at the end of 2025. This positions us well for 2026, and we still expect to book some orders in the first half of the year that will contribute to revenue in 2026. I now hand over to Onno to walk us through the 2025 financial performance. Onno?
Onno Krap: Thank you, Michael. Our revenue in 2025 was backloaded towards Q4 due to a number of end of the year projects that were commissioned. We delivered revenue of EUR 120.1 million, representing a 12% decline compared to EUR 135.7 million in Q4 2024. This year-on-year Q4 decline was driven by lower EV charging revenues and by lower revenues in smart grid solutions. Smart grid solutions revenues in the Q4 2024 comparison base were higher than normal due to the production catch-up to recover from lower output early in 2024. Our adjusted gross margin for Q4 2025 remains stable, 24% of revenue in Q4 2025 compared to 25% of revenue in Q4 2024. The lower adjusted gross margin was driven by lower margin in energy storage solutions due to revenue recognition timing effects and a lower margin in smart grid solutions due to a relatively high share of transport distribution stations delivered with a lower margin compared to private domain stations. This gross margin effect was partly offset by a higher gross margin in EV charging due to lower component prices. Adjusted gross margin in Q4 2025 was lower than earlier in the year due to a business line and mix effect, relatively more revenue in ESS, relatively more. We also delivered a number of mid-voltage distribution stations at slightly lower gross margins. Adjusted EBITDA for Q4 2025 was 4.6% versus 5.7% in Q4 2024. This reduction was driven by a margin as well as a deleveraging effect. Looking at our full year 2025 income statement, I'll walk you through the key financial metrics and how they compare to our 2024 performance. Starting with revenue, we generated EUR 435.6 million in 2025, which leaves us at the lower end of our updated revenue guidance of EUR 430 million to EUR 480 million, as we already indicated during our Q3 earnings release. The decline represents a 10% decrease from EUR 487.6 million in 2024. Our gross margin for 2025 was EUR 124.9 million, representing 28.7% of revenue compared to EUR 115.4 million or 23.7% of revenue in 2024. The significant improvement in gross margin percentage was mainly driven by a large amount of one-off costs in 2024, totaling to EUR 24 million, among others, a provision for the moisture issue as well as a provision of obsolete EV charging inventory. When we look at our adjusted gross margin, which provides a clear view of our underlying operational performance, we see it remained relatively stable at 28.1% in 2025 compared to 28.6% in 2024. To calculate our adjusted gross margin, we exclude a provision of EUR 1.8 million in obsolete inventory for EV charging components, offset by a EUR 4.1 million reduction of the moisture issue provision. Moving to our operational costs. Personnel costs decreased significantly by 15.2% to EUR 73.8 million in 2025 from EUR 87.1 million in 2024. Our adjusted personnel costs exclude EUR 1 million in restructuring costs and some minor other adjustments. Other operating expenses also declined meaningfully by 21.1% to EUR 25.7 million in 2025 compared to EUR 32.5 million in 2024. Our adjusted operating expenses exclude EUR 1.2 million in one-off transformation costs for R&D and EUR 0.8 million in share-based payment expenses. In the next slide, I will explain in more detail how our adjusted operational expense have changed as a result of our cost control efforts and rightsizing. EBITDA improved from a negative EUR 4.2 million to a positive EUR 24.8 million, mainly driven by the absence of previously mentioned significant one-off items in 2024. Adjusted EBITDA remained stable at 5.8% of revenue, while dropping in absolute terms from EUR 28.5 million to EUR 25.5 million. Adjusted net profit remained stable at EUR 3.2 million. Throughout 2025, we implemented significant cost reduction measures. These actions were necessary to align our cost structure with revenue developments. Total personnel expenses and operational costs were reduced by 16.8%, our most substantial cost reduction in absolute terms came through organizational rightsizing, where we reduced our workforce from 1,053 FTEs at the end of 2024 to 923 FTEs by the end of 2025. We achieved meaningful reductions in other operational expenses, which decreased by 21.1% to EUR 26 million in 2025. These savings came from multiple initiatives across the organization. Moving forward, we will continue to maintain this disciplined cost and efficiency approach. Our net debt position continued to improve throughout 2025, demonstrating our commitment to maintaining a healthy balance sheet. Looking at the most important balance sheet movements. Current assets decreased by EUR 46.2 million, driven by further inventory reductions and a reduction of trade receivables as our end of year 2024 position was higher than normal on higher volumes of substations towards year-end and a number of battery outstanding receivables. On the liability side, noncurrent liabilities decreased by EUR 6.8 million, caused by a reduction on provisions and scheduled repayments of borrowings, while current liabilities decreased by EUR 44 million due to a reduction of trade payables as we paid our year-end bills. Our net debt position improved further from EUR 32.7 million at the end of 2024 to EUR 20.7 million at the end of 2025. Operating cash flow was EUR 32.5 million positive in 2025 compared to EUR 55.8 million in 2024. Operating cash flow was highly influenced by the inventory reductions in 2024 as well as in 2025. Further, we remain well within our bank covenant requirements. Our net debt to adjusted EBITDA ratio stayed below the maximum threshold of 3:1 as stipulated in our banking agreements. This improved net debt position gives us a solid financial foundation as we navigate through 2026 transformational phase. Our working capital position showed significant improvements throughout 2025, declining from EUR 92 million in 2024 to EUR 77 million at the end of 2025, reflecting our disciplined approach to inventory management and improvements in AR position. The most notable improvement came from our inventory reduction efforts. Between 2023 and 2025, we reduced overall stock levels and strategic down payment by 45%, equivalent to EUR 79 million. In 2025 alone, we achieved a substantial 20% decrease in inventories, representing EUR 20 million in reductions. This was driven by several key factors, selling a number of long-term energy storage inventory items and continuing to sell EV and battery charging inventory. Moving forward, we will continue to focus on further bringing down EV charging inventories to optimize our working capital position. Trade receivables decreased significantly in 2025 by EUR 32.9 million, mainly reflecting the normalization of elevated receivable levels at the end of 2024. These higher levels were driven by the ramp-up in volumes with grid operators in the second half of 2024, following the resolution of the moisture issue that had affected the Smart Grid Solutions business. On the payable side, our trade payables was reduced by EUR 40.9 million as certain larger accounts payable position were due towards the end of the year. The effect of our energy storage business on our working capital position continues to be positive. This continued positive impact is dependent on a continuous flow of energy storage contracts incoming for which prepayments are due. Overall, the working capital improvements contributed meaningfully to our positive operating cash flow of EUR 32.5 million in 2025. I now hand over to Michael Colijn, who will walk you through the strategy update and outlook.
Michael Colijn: Thank you, Onno. When we look at the energy transition today, one thing becomes very clear. The ideal solutions are those that are cybersecure, easy to deploy and compact. And the reason for that lies in the underlying market trends that are shaping demand across the sector. First, the trend of electrification continues and is now combined with the need for energy security. Geopolitical tensions remind us that independent and cybersecure infrastructure is not optional. It is essential. This means customers are increasingly demanding electricity systems that are strengthened, controlled locally and protected against cyber threats. Second, we continue to integrate more renewables, and that push is decentralizing the grid. As solar and wind capacity grow, we need smarter grid connections and energy storage to close the gap between moments of high generation and high demand. But these trends introduce new challenges. We see rising grid congestion driven by electrification outpacing the expansion of the grid infrastructure. This creates pressure on our customers to find solutions that reduce or avoid the need for new grid connections. As a result, demand is growing for smarter energy assets. And finally, we are seeing execution constraints in the downstream value chain. Permitting cycles are long, qualified labor is limited and space is often scarce. This puts a premium on compact systems that are easy to deploy. Our strategy and our portfolio are best designed exactly to address these needs. Everything we do starts with our purpose, securing the electricity needed to keep life happening every day, everywhere. Today, energy security is more critical than ever. Our customers rely on us because our products must always be safe, reliable and trusted, especially as electricity is increasingly the backbone of mobility, communication, heating and industry. But being reliable isn't enough. We have to deeply understand our customers, not just what they ask for, but what they actually need to operate, grow and stay resilient in a world that is rapidly changing. Anticipating those needs is what sets us apart. And the role we play goes far beyond the customer relationship. Electricity is at the heart of society because when something goes wrong, when the lights go out or systems fail, households, businesses and entire communities feel the impact immediately. We, as Alfen, exist to prevent that. We believe deeply in the energy transition, and we believe in keeping electricity safe and reliable. And we believe in growing our business so that we can deliver reliable energy wherever and whenever society needs it. That sense of responsibility has shaped us for decades, and it will continue to guide us as we transform for the future. We take sustainability as a given. When we look at the environmental pillar of ESG, we have SBTi validated CO2 reduction targets and have achieved strong CO2 reduction across Scope 1, 2 and 3 in 2025. We are even on track to meet our 2030 SBTi validated target for Scope 1 and 2 already in 2026, ahead of time. On the social dimension, we're committed to being a responsible employer. For example, Alfen trains new technical personnel through the Alfen Academy. From a governance perspective, we maintain the highest standards of business ethics, transparency and accountability, and we are proud to be able to say that in 2025, there were no violations or irregularities reported on, for instance, the code of conduct. These efforts are also externally recognized as we are ranked in the top ninth percentile by the 2025 Sustainalytics rating. Let us now dive into what Alfen offers at a glance. Across our 3 business lines, we provide end-to-end solutions that are designed, engineered and built in Europe, supported by our own R&D, production, project management and service organization. In smart grid solutions, we deliver distribution substations and grid infrastructure that help operators strengthen the grid and enable electrification. Customers choose us for reliability, compact design, ease of deployment and integrated functionality. In EV charging, we offer highly reliable AC chargers for home, business and public locations with strong interoperability, smart charging capabilities and remote service built in. Our focus is on reliability, connectivity and ease of installation. And in energy storage systems, we provide multi-megawatt stationary solutions and mobile storage systems that help customers manage limited grid capacity, integrate renewables and optimize energy use. Here, we win on end-to-end service, local grid expertise and performance guarantees. Together, these business lines give us a diversified complementary yet resilient offering, one that directly responds to the needs of the market. Alfen operates across Europe with our headquarters and primary manufacturing facilities located in the Netherlands. We have established a strong presence in key European markets with our core markets being the Netherlands, Germany, Belgium, France and the Nordic countries. We build scale by growing with our customers. As they expand, we expand with them. For example, in the United Kingdom, we followed our battery electric storage systems. Local presence is core to our model. It allows us to serve customers with speed, high quality and deep market understanding. Today, we already operate with local sales and service teams across many European countries, and that network continues to grow. Each new country we enter often starts with one business line, but that local presence becomes a stepping stone to build out the next, especially in regions such as Southern Europe. This allows us to grow in a disciplined, scalable way. And once we achieve overlap between our business lines in the market, we unlock a major advantage, the ability to offer integrated solutions, for example, across Benelux, Germany and the Nordics. This European footprint, combined with our local depth, positions us strongly to support the energy transition wherever our customers need. Looking across our 3 business lines, we see sustained strong growth. Starting with smart grid solutions, we see increased demand from grid operators who are under pressure to expand and strengthen grid infrastructure to accommodate electrification. In the private domain, we observed increasing demand in the key segments such as fast charging, commercial and industrial storage, which are illustrative for the broader market environment. Also in EV charging and energy storage, we continue to see strong sustained double-digit growth across Europe. On the EV charging side, the number of installed charge point keeps rising as electric vehicles become more affordable and increasingly attractive for consumers. In energy storage, growth is even steeper. As more renewables enter the system, the need for storage to balance the grid increases rapidly. These long-term views reaffirm that Alfen is present in the right markets. To capture these growth opportunities, we are embarking on a comprehensive transformation. The goal of this transformation is threefold: to get closer to our customers, to achieve product excellence and to further digitalize our offering. Our transformation is guided by 4 core principles that will shape every decision we make and every initiative we undertake. The first of these 4 is total customer confidence. We want to build complete trust by being reliable, responsive and locally present across Europe, so we retain customers for the long-term and grow with them. The second is perfect product foundations. This means consistently delivering high-quality products that meet customer needs today and anticipate their needs tomorrow while optimizing the total cost of ownership. The third is smart services innovation. We will add more value to our customers through bundled, relevant and dependable solutions, enabling a step change in how we support them. And finally, a fighting fit model. We will evolve our structures and ways of working to enable the aforementioned 3 principles and to ensure we operate safely and effectively as we scale. These 4 principles define how we will transform and how we will position our company for the next phase of growth. Let me provide a couple of concrete examples of how these 4 principles will translate into action across our organization. For total customer confidence, we're building out 24/7 response capability and increasing our local-for-local presence. Under perfect product foundations, we're adopting a more networked approach to engineering and moving to modular, scalable software development. For smart services innovation, we're investing in remote monitoring and predictive maintenance, and we're equipping our field teams with remote diagnostics to resolve issues quickly. And within our fighting fit model, we're implementing a new operating model with clearer P&L accountability, and we're optimizing end-to-end processes within each business unit. For every business unit, we have developed a strategy that will guide commercial activity, European expansion and product and digital solution development. In smart grid solutions, we are concentrating on the 5 strongest growth segments, including public networks, fast charging, logistics, C&I sites and rail with a more proactive market outreach. We are also expanding in Europe by leveraging our existing relationships in private segment grid solutions. Across all markets, we will continue to differentiate through reliability, compactness, ease of deployment and our turnkey integrated offering. In EV charging, we continue to focus on AC charging for the home, business and public segments. Towards the future, we are simplifying the portfolio from 5 to 3 AC charger types to reduce cost and complexity while continuing to stand out with reliability, smart charging features, interoperability and strong remote aftersales support. Geographically, we will expand our core markets into Italy, Spain, Portugal and plan for re-entry into the U.K. And in energy storage systems, we are increasing commercial efforts in both utility scale and mobile solutions and further expanding into fast-growing C&I segments. We will prioritize our existing core countries with selective expansion based on clear criteria. Our edge remains our end-to-end service capability, local grid expertise, performance guarantees and particularly in mobile, our interoperability and plug-and-play peak shaving functionality. Together, these strategies give each business unit a sharp commercial focus while ensuring we differentiate through reliability, innovation and local customer relevance across Europe. As part of our smart services innovation, we are strengthening and expanding our digital solutions across all business units to improve performance, efficiency and customer experience. In smart grid solutions, customers can already configure substations directly through our webshop, influencing production planning in real time. And we are developing the station of the future, integrating predictive maintenance and remote connectivity into transformer substations. In EV charging, we are launching 2 major digital upgrades, a new mobile installer app that reduces on-site installation time by up to 90% and our new EVE control platform, which will provide advanced asset management, full remote service and simpler configuration of chargers. And in the battery energy storage, TheBattery Connect platform gives customers full visibility and control over their systems. It processes massive volumes of data in real time, enabling continuous optimization and fast reactions to any system alerts. These digital solutions are already creating value today, and they will become an even stronger driver of reliability, uptime and customer satisfaction as we scale. To support our transformation and accelerate our execution, we will adopt a business unit structure. Each business unit will be led by a dedicated business unit director. This structure brings several advantages. First, it moves us closer to the customer. More of our organization will be directly connected to customer-facing roles, giving us faster insights and quicker responses. Second, it allows for faster strategy execution. Strategic direction can be translated more directly into team priorities without unnecessary steps or complexity. Third, it increases accountability. Each BU will own its business outcomes end-to-end below the management Board, ensuring clear responsibilities and stronger performance management. And finally, it reflects the different dynamics in each BU, whether it's product versus project environments, commercial go-to-market approaches or operational requirements. At the same time, we will continue to leverage shared support functions and other synergies. This gives us the best of both worlds, greater speed and customer focus within each BU while still capturing synergies across the company. To fully enable our strategy, we need to strengthen the capabilities of our organization. By Q2 2026, we will transform both the skeleton and the nervous system of the company, the structure that supports how we work and the culture that guides how we behave. First, on the structural side, the skeleton, while maintaining overall headcount, we will reallocate capacity towards the capabilities that are critical for our commercial growth strategy. This means strengthening areas such as digital solutions, project management and service. As part of this shift, we do anticipate reductions in some areas and increases in others. And to support this transition, we will take a restructuring provision of approximately EUR 4.5 million in 2026. Second, on the cultural side, the nervous system. We will embed a company-wide culture focused on customer centricity. We have defined and will roll out consistent leadership behaviors across the organization, and we will clarify roles and accountabilities to ensure everyone knows what they own and how to contribute. Together, these changes will help us get closer to the customer, improve reliability and further digitalize our offering. Looking ahead to 2026, this will be a transformational year for Alfen. We recognize that before we can accelerate growth, we must first transform our operations and complete the organizational changes necessary to position us for sustainable success. This year will be about building the foundation for top line growth. For 2026, we are guiding revenue between EUR 435 million and EUR 475 million. Let me provide some context on how we see each business unit contributing to this guidance. The 2026 backlog for energy storage systems is at EUR 122 million, and we still expect to book several orders that will lead to revenue in 2026. Smart grid solutions revenue is expected to increase both in the project business as well as in the product business. For 2026, we expect a decline in EV charging segment, while the product portfolio is being renewed and competitive pressure persists. Our adjusted EBITDA margin guidance for 2026 is between 4% and 7%, and our CapEx is expected to remain below 4% of revenue. Looking beyond 2026, our ambition for 2027 is to return to profitable growth. By then, we expect our transformed organization, strengthened commercial strategies and enhanced digital capabilities to position us to capture significant growth opportunities across all 3 business lines. These investments we are making in 2026 are specifically designed to establish Alfen as the partner of choice for customers across Europe's energy transition. Thank you very much. We now open the floor for questions from our analysts.
Operator: [Operator Instructions] Our first question comes from Nikita Papaccio.
Nikita Lal: The first one would be on EV charging inventory. Could you give us any indication where are you currently? And what is the targeted level? The second one is on the decision to re-enter the U.K. in the charging business after exiting this, I think, last year. Just wanted to understand what has changed the situation in the U.K. What do you expect there? And what might be the cost to re-enter the country again? And the third one on the timing of your restructuring provision of the EUR 4.5 million. The organizational structure should change in Q2. Should we expect the provision to be booked in Q2 as well?
Onno Krap: Nikita, this is Onno. Thanks for the questions. On EV charging inventory, we are currently -- at the end of 2025, we are at EUR 28.8 million in inventory for EV charging. The expectation is that there's around EUR 10 million of excess inventory still in there, and that will be brought down over the, let's say, next 2 to 3 years. We won't bring that down full year 2026 yet. So we need a little bit longer for that.
Michael Colijn: On your second question regarding the U.K. re-entry plan for EV charging. I believe it was absolutely the right decision for the company to reduce its number of geographies last year when it had to realign and strengthen its core while reducing headcount. In our revision of our strategy for this year, we looked at how we would enter the U.K. and with what purpose. And there are 2 significant differences between the way we were operating prior to last year's withdrawal. The first is that we've taken a local-for-local approach, building teams in countries that can understand regulation, be close to the customer and really support the business there, both in terms of sales, service and project management. And the second, especially relevant for the U.K., is that we grow with our customers. We have several customers that have indicated with whom we're doing business already in different geographies that they wish to expand their portfolio with us into the U.K., and we are looking to do that together with them, thereby reducing risk on market traction, reducing operational expense to trigger the market and allowing us to grow neatly next to our customers.
Onno Krap: I will take the question on restructuring. The expectation is to book most of the restructuring provision in Q2. It could be that a portion will still move into Q3. And the expectation is also that the cash outflow is around -- is most likely in Q3.
Operator: Our next question comes from Ruben Devos from Kepler Cheuvreux.
Ruben Devos: The first one is just on the gross margins. I think if my math is a bit right that the Q4 adjusted gross margin came in around 24%. I think in the rest of the year in '25, you were around 29% to 30%. So I think you've talked about mix effects from more storage revenue and a shift towards these lower-margin transport distribution stations in smart grids. So if the '26 sales guidance assumes growth in both storage and in smart grids, should we expect that same mix of Q4 to somewhat persist throughout the year? That's the first question.
Onno Krap: Your analysis is right. Those are the main drivers for the somewhat lower margin in Q4. And also, if you take a look at the guidance that we have given by product line or by business unit, then SGS somewhat higher, battery somewhat higher and EV charging somewhat lower. That does mean something -- that does mean that our average margin will come down in 2026, and that's also reflected in the guidance that we have given on the EBITDA margin.
Ruben Devos: Okay. And just to further build on that, I think you also talked a bit about '27. You're guiding for a year-on-year improvement in revenue and adjusted EBITDA margin. I think not too long ago, you were sort of talking about getting towards a low double-digit EBITDA margin in the mid-term. So maybe could you help us understand what a realistic 2027 exit rate would look like? Is low double-digit still on the table at this point as a mid-term objective? Or do you have a bit of a new look on that?
Onno Krap: Yes. I don't really want to go beyond the guidance that we have been given so far. So the guidance for 2027 is moving in the direction of profitable growth and to -- and we're giving that guidance for a reason, and I don't want to basically go beyond that, and I'll mention any numbers on that.
Ruben Devos: Okay. Fair enough. Then just a final one on the backlog of energy storage. I think it was a EUR 127 million, of which EUR 122 million for '26 delivery. That looks already like a strong coverage, right, relative to the sales you realized last year. I think you also talked about project execution timing that would drive the conversion. So basically, my question is how much sort of contingency is built into the guidance for this year for potential project delays? And what is -- if 1 or 2 larger projects slip into '27, how impactful could that be?
Onno Krap: Yes. Good question. So -- but we -- if we take -- currently taking a look at the backlog that we already have and taking a look at the planning of the backlog from an execution and revenue recognition perspective, then we do see that the revenue is somewhat front-end loaded. So that basically gives some confidence that we have -- we have some cushion if something gets delayed, it gets delayed to Q4 and not delayed into 2027. And with respect to the orders that we still expect basically on top of the EUR 122 million that will lead to revenue in 2026, they have to come in relatively soon. So let's say, within the next 2 months, and that has to do with the fact that we do see increasing lead times of some key components, sometimes even going up to 40 weeks. So you can imagine that if we get an order in, let's say, in April with lead times of more than 40 weeks, it's difficult to realize those still in 2026. So timing is of the essence here also to book the initial orders to realize revenue in 2026.
Operator: The next question comes from Jeremy Kincaid from Lanschot Kempen.
Jeremy Kincaid: I have 3 questions, but let's start with the first one. On your EV charging guidance, you're obviously talking to continued competitive pressure and a decline from '25 to '26. But obviously, this year, you've launched some new products with -- which have new innovations. And I think I also read that you undertook a pricing reset. And so even after these steps, you're still going to be losing market share. So I suppose my question is, what is it going to take for you to stabilize market share or even grow?
Michael Colijn: Thank you for the question. I think the steps that we are taking in the EV charging space are threefold. First of all, there's ongoing simplification of the portfolio, whereby the features inside the chargers are being designed to meet the latest expectations of our customers in terms of energy management, load balancing, VTG capability. And the other part is that each charger will be made more suitable across a larger number of geographies. The third element, which is playing on the minds of our customers is in terms of uptime, ease of installation, ease of use and really ensuring that we are best-in-class once again, which we were for a long, long time, and we did not pay enough attention to that in the last few years, and we've now launched the development of these new chargers, and we expect them to have the traction that we need. The initial response from our key customers is very positive, and we look forward to regaining traction with them during this year.
Jeremy Kincaid: Okay, sure. And then on smart grid solutions, you're also talking to a broader international expansion. I think in the past, you've talked to the fact that you're reluctant to do that because grid networks are different. Are you able to talk to the rationale for the geographic expansion now?
Michael Colijn: Absolutely. I think there are 2 markets that we serve within the general smart grid solutions area. One is the public one where we serve the grid operators. And what we're talking about here today is not that. We are discussing the private market, such as fast charging hubs, logistics, the C&I market, solar and wind farm support. These are behind the meter, specifically designed to support larger energy consuming or energy-generating projects, whereby standardization is possible across geographies, and there is not the need to meet complex grid requirements that we see in the public market.
Jeremy Kincaid: And then the final question, Michael, if you look -- to look 5 years into the future, which of your 3 business units do you think would be the largest?
Michael Colijn: Well, I'm in love with all 3 of them. So we are happy to focus on them. And joking aside, I think the strength that we will build out in the future is the synergies between them start to become more visible as projects become larger. To give a few examples of what we've done in the second half of last year, we've combined SGS, smart grid solutions with charging capability for really large international distribution companies. We've built out a combination of battery with smart grid solutions where peaks and troughs in demand can help those solutions where grid connections are difficult. And we've seen an increase in the number of smart grids at local level where we combine our SGS solution with either a battery or charging or simply getting the grid locally strengthened. Those type of synergies, we expect -- we see them, and we expect a bigger uptake in the future because intrinsically, we see an increasing complexity of the grid at the decentralized level, and that's where we're playing.
Jeremy Kincaid: Sure. Okay. I suppose a final comment, it would be helpful to receive some sort of measure on that interconnectedness going forward to be able to assess that. But I fully understand your point.
Operator: The next question comes from David Kerstens from Jefferies.
David Kerstens: I've got 2 questions, please. First of all, on your revenue guidance, I think you upgraded that slightly from low single-digit back in November to growth of up to 9%, maybe 4% on the midpoint. What's driving that upgrade? And when you compare that with the market growth data that you provided in the strategy update, should we assume a further acceleration towards double-digit growth longer-term? That's my first question.
Onno Krap: Okay. So I'll start with that one. Break out the revenue guidance, I think to a certain extent, Michael already also gave an indication there is in smart grid solutions, we do foresee modest growth or relatively low growth with the grid operators for this year. But in the project business, where we are also -- we expect some decent growth and we classify the work that we do for the mid-voltage distribution station, we classify that in our project business. That's where we expect a significant part of the growth coming from in the SGS business. If I then move to battery business, I think we tried to explain kind of the foundation of our guidance very much already backed up by the EUR 122 million in backlog that we have in portfolio already, plus the number of orders that we have visibility on and we expect to book in the next 2 months. So that's basically driving the guidance on batteries. And then we also see for 2026, a decline in EV charging. And -- but of course, I mean, that's something that's a position that we are not satisfied with. And I think all our efforts during 2026 will be focused on making sure that we reverse that trend, become more competitive and reverse that to a growth in 2027. That combined basically led us to guide you on 2027 that it will be profitable growth without, at this moment in time, putting any percentages on that. We will do that as soon as we have more visibility in that direction.
David Kerstens: Okay. I understand. Second question is on the geographical expansion in EV charging. You already touched upon the expansion and re-entry in the U.K. You talk about increasing competition in EV charging. I was wondering how do you now see the competitive landscape in the various markets like Italy and Spain, which you are now targeting as well as in the U.K. I think there are many -- from what I understand, many local brands. And how do you expect for Alfen to build a position in these local markets? And what would be the associated cost for marketing to get into that market again? And will you mainly focus on the home segment? Or is this mainly in the public domain where you're looking to expand in these markets?
Michael Colijn: Okay. A couple of questions there. Let me strip them down. First of all, the strategy is for us to be local for local and where we expand into the geographies based on our customers' wishes to expand. We see some pull from customers that are choosing Alfen because of reliability and a long history in EV charging. And we do see an increased competitive landscape in terms of the number of competitors, both local and international. When we look at the ability to drive innovation and our ability to maintain cost, we believe we have positioned ourselves for being very competitive across the different geographies in Europe. And we're not doing a single bet on a single country, you can see from our expansion plan that it is a multipronged approach, whereby volume is one of the key deciders for us to play in the geographies that we've mentioned today. In terms of the segment, the highest volume segment is the home market, followed by business and then finally, public. We believe that the mix of being in all 3 gives us an advantage in terms of platform, in terms of scale and in terms of being able to offer our customers what they're looking for.
David Kerstens: And can you talk about the associated cost of this geographical expansion? Does it require advertising campaigns to expand in the home market?
Michael Colijn: Not really. This is a relationship-based business-to-business market that we're in. We're not looking to develop a brand image around the charging facility.
Operator: The next question comes from Thijs Berkelder from ABN AMRO ODDO BHF.
Thijs Berkelder: First question on guidance 2026 on margins. In November, you still guided for 5% to 8% adjusted EBITDA margins, as I recall. And now you pushed that down to 4% to 7%. Can you explain the reason why you're pushing the margin guidance down? And why would you in '26, not be able to beat your '25 margin? What are the key factors there? And maybe David already hinted at larger -- higher marketing costs, other extra costs whatever -- can you explain?
Onno Krap: Sure. It's actually twofold. One is based on the fact what I mentioned on kind of the mix that we see for 2026 between business units. SGS and batteries are increasing, but they have a lower gross margin than our EV charging business and EV charging business is declining somewhat. So in the mix, we see a reduction in our gross margin. I already said, okay, that -- I already said that that's a trend that we have to reverse, but that reversal will -- we're working on that to reverse that towards 2027. At the same time, we're also saying this 2026 is a transformational year. And transformation means change and change doesn't always come for free. So we expect certain costs and maybe even certain inefficiencies during 2026 that lead to additional costs and therefore, pushing down our overall EBITDA margin. And that's why we came to the guidance between 4% and 7%. And if you take the midpoint of that one, in absolute terms, that will be EUR 25 million, and that's more or less the same as where we are in 2025.
Thijs Berkelder: Okay. Then coming back on the EUR 25 million as a starting point and roughly translating into -- I'm looking now more -- much more at cash flows. Your cash flow from operations, excluding working capital effect last year was around EUR 20 million, I think, and that's before your, let's say, necessary investments in personnel for technology, what have you of close to EUR 10 million. So net of that, it's only EUR 10 million and after lease payments you have to pay off around EUR 8 million. You have very minimal organic cash flow left in '25 and in '26, given your guidance and the cost you will have to pay, it won't be much different. How as a CFO, are you looking or protecting your downside? Given all the staff reductions, I would have expected at least in terms of guidance that the low end of the margin guidance would not be further guided down.
Onno Krap: Yes. No, I think your analysis is correct. We need around EUR 30 million to EUR 32 million in EBITDA to be autonomously cash flow positive. And so from that perspective, 2026 will be a year where that will not -- will be approximately EUR 5 million to EUR 6 million negative. At the same time, we do still expect for 2026 certain improvements in working capital, especially in inventory. We still have -- and I just elaborated on that one. We still have some excess inventory in EV charging, and we still have a couple of items in batteries that we expect to reduce during 2026. So from that perspective, and without basically really giving guidance on that, I mean, I'm not overly worried about the fact that we won't be generating cash next year. And then definitely to put towards 2027, I think we need to see an improvement to basically also create -- reach an EBITDA that will be in itself cash flow positive. And from there on, we build on further.
Thijs Berkelder: Yes. Third question is on, Michael, you're optimistic on your end markets. Your end markets are growing, maybe even now starting to accelerate a bit further. But to catch that growth also abroad, are you not scared that your working capital management is now too tight and simply your balance sheet situation and cash flow requirements will prevent you from growing with the market and will only force you to not grow with the market?
Michael Colijn: I think for 2026, we see that we are not growing as fast as the market, also not in our outlook because we believe this rebalancing is necessary. Indeed, when growth picks up, there is a challenge of balancing cash flow and growth capital needed. I would say I would be -- it's a happy challenge to face in the future when we are looking at cash needed for accelerated growth. What I can say on the 3 different segments that we serve, when we look at the battery storage side, payments are usually upfront that really helps us in managing cash, and we've seen some of that already in 2025. When we look at our SGS performance, we see that our grid operator companies are getting better at their forecast prediction and there is a balance in their payments versus their offtake. And so I'm not too concerned about that either. When we look at the EVC charging, increasingly, we are working and we are working in this year towards having framework contracts in place, whereby the predictability of the volume becomes better. Having said that, we see that already with those customers, their payment cycles are stable and good. And as we grow with them, I wouldn't expect sudden unexpected growth leading to a lack of payments as we ramp up. So of course, we are watching this carefully, but I'm not overly concerned about the growth because of those reasons.
Operator: The last question is from Luuk Van Beek from Degroof Petercam.
Luuk Van Beek: A couple of questions. First, on the cost savings. Previously, you indicated that you were already at to, say, a minimum cost level that cutting further would hurt your commercial and innovation capabilities. Now you see room to still make further cuts basically in the organization and then free up money to invest in your new strategy. Can you explain how you have found new ways to save costs basically? And if we can see the OpEx and the personnel cost level of H2 as a sort of run rate for next year? That is the first one and I'll come back later with other ones.
Onno Krap: Okay. Yes, on the cost savings side, the cost saving on personnel, you mainly see during 2025. And so we brought down the number of FTEs by around EUR 120 million -- [indiscernible] the change that we are, at this moment, looking for, for 2026 in the organization is not so much focused on cost savings. It's much more shifting a certain part of the organization into an area where we see more need for it in digitalization, in projects and in services. So the focus here is not on cost savings. The focus here is redirecting capabilities from one side of the organization to the other to basically make us stronger and to accelerate growth. Apart from that, especially if you take a look at our OpEx, I would call it the discretionary spending, we will continue to focus there and making sure that when we spend money on outside vendors that we always think twice and make sure that we spend it wisely in order to make sure that it contributes to the health of the organization or to basically making sure that we generate more revenue. I think that's the approach. I think maybe coming back to the question of ties, and we are not trying to starve the organization. That's not what we're trying to do. But we're trying to be very conscious on where we're spending the money, how we're spending it and to make sure that it is optimal and not in the direction of starving the company. I think that's in no ways what we're trying to accomplish.
Luuk Van Beek: And then I have a question about the gross margin in EV charging, which was supported by lower component costs in H2. At the same time, you are cutting your prices, obviously, to be more competitive. How do you look at the balance between further support from lower component costs and a negative impact from pricing cuts going forward?
Onno Krap: Okay. Now there is an impact of lower components costs we saw more or less starting to happen in Q2 last year and continued in Q3 and Q4. Expectation is that we will also see that effect in 2026, not so much that components costs will become even lower. But I mean, this effect is here to stay. At the same time, we continue to see competitive pressure. That's also where some of the guidance is coming from that -- in 2026, we will see some lower revenue. To counteract that, we will definitely also work on pricing. So my expectation is that gross margins for 2026 will definitely not go up. And we will use a little bit of the room that we're currently seeing in our margins to make sure that we stay -- that our pricing stays competitive.
Luuk Van Beek: Okay. That's clear. And then last quarter, you mentioned that you had a new type of transport distribution station, which was much larger the turnkey. Can you comment on the build the progress? Do you still expect that it will become a significantly larger part of your revenues in smart grid solutions this year?
Onno Krap: Yes. We -- the part of the growth that we are currently forecasting or guiding in 2026 is actually coming from the increase in these transport distribution stations. So definitely, we see that increasing, and we see actually also for the longer-term quite some opportunities there. Those are stations that are significantly larger or significantly more from a pricing perspective, larger than the ones that we sell on a regular basis. And we have a pretty strong position there at this moment in time, and we intend to build that further in the years to come.
Luuk Van Beek: And my final question is about the reporting. You will now move to the organization by business unit. Does it also mean that we will get the EBITDA by business unit in the future?
Onno Krap: It's likely that we will move in that direction. Timing of that will still depends, but it's likely that at a certain moment in time, we will move in that direction.
Operator: Thank you. And with that, I will now turn the call back to Mr. Colijn for any closing remarks. Please go ahead.
Michael Colijn: Thank you all for joining us today for Alfen's Full Year 2025 Earnings Call. We look forward to updating you on our transformation and financial performance during our Q1 trading update on May 13. Have a good day.
Operator: Thank you. You can now disconnect.